Operator: Good day, ladies and gentlemen, and welcome to the PAR Technology Fiscal Year 2016 Second Quarter Financial Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Mr. Chris Byrnes, Vice President of Business and Financial Relations. Sir, you may begin.
Christopher Byrnes: Thank you, Tamara, and good morning everyone. I'd also like to welcome you today to the call for PAR's second quarter 2016 financial results review. The complete disclosure of our first quarter results can be found in our press release issued today as well as in our related Form 8-K furnished to the SEC. To access the press release and the financial details, please see the Investor Relations and News section of our website at www.partech.com. At this time, I'd like to take care of certain issues in regards to the call today. Participants on the call should be aware that we are recording the call this morning and it will be available for playback. Also, we are broadcasting the conference call via the World Wide Web so please be advised, if you ask a question, it will be included in both our live conference and any future use of the recording. I'd like to remind participants that this conference call includes forward-looking statements that reflect management's expectations based on currently available data. However, actual results are subject to future events and uncertainties. The information on this conference call related to projections or other forward-looking statements may be relied upon and subject to the Safe Harbor statement included in our earnings release this morning and in our annual and quarterly filings with the SEC. Joining me on the call today is PAR's CEO and President, Karen Sammon; and Matt Trinkaus, PAR's Chief Accounting Officer. I'd now like to turn the call over to Karen Sammon for the formal remarks portion of the call, which will be followed by general Q&A. Karen?
Karen Sammon: Thanks, Chris. Good morning and thank you for joining us today for our second quarter 2016 conference call. This morning we announced that the company reported first quarter revenues from continuing operations of $52.7 million as compared to $58.9 million in the second quarter last year including revenue from one-time program with one of our international customers and the completion of a Tier-1 deployment that were not planned to be duplicated this year. Additionally, our contract revenue decrease is attributed to specific timing of revenues associated with the company's large Eagle Intel-X contract with the U.S. Army when compared to second quarter 2015. In the quarter we recorded GAAP net income from continuing operations of $100,000 and diluted EPS of $0.01 compared to net income of $1.2 million and $0.08 diluted EPS in the same quarter in 2015. On a non-GAAP basis PAR reported net income from continuing operations of $629,000 and diluted EPS of $0.04 versus $1.7 million and $0.11 per diluted share reported in 2015. I'm going to turn the call over to Matt Trinkaus for further details of our financial performance. After Matt's review I will highlight our second quarter performance and why we feel positive and optimistic about the second half of this year.
Matthew Trinkaus: Thanks, Karen and good morning everyone. Product revenue in the quarter was $21.4 million, a decrease of $3.8 million and 15.1% compared to the second quarter of 2015. During the quarter the decrease in product revenue was mostly driven by hardware sales so it's sold to our largest global customers in low volume through our network of channel partners. This decrease was offset by hardware pull-through from deployments of Brink POS of approximately $1.5 million. Service revenue was down slightly compared to Q1 2015 generating $11.8 million versus $12.1 million, noting a decrease of 2% or $300,000. This was largely due to installation revenue that correlates with lower global hardware deployments in the quarter. Although all overall service revenue stream was negatively impacted during the quarter from the volatility of the global deployments, the company experienced growth in software sold as a service and other recurring revenue streams noting approximately $700,000 increase compared to Q2 of 2015. In addition, service revenue generated by the company's hardware repair center contracts increased compared to prior year driving a higher volume of contracts. The company's recurring revenue base represents both, software-related service and hardware-support contracts. Of the $11.8 million of service revenue reported in Q2 2016 approximately $8.3 million or 70% is comprised of recurring revenue contracts as compared to $7.6 million or 63% of total service revenue Q2 2015. The company's SaaS revenue, primarily Brink and SureCheck continues to grow increasing 74% over Q2 2015 and 18% on a sequential quarter basis. The volume of hardware support contracts continues to grow with the shift in the type of contracts that drive improved margin performance. Contract revenue from our government business was $19.4 million, a decrease of $2.2 million from the $21.6 million reported in the second quarter of 2015. This is the result of a decrease in materials and subcontract revenue across all lines of business offset by an increase in direct labor and associative value-add revenue. Contract backlog continues to be significant noting full backlog of over $125 million as of June 30, 2016. Product margin for the quarter was 24.7% versus 27.6% in Q2 2015. The decrease in product margin percentage relates to the mix of product revenue streams during the quarter as compared to prior year. In Q2 2016 the company experienced a higher percentage of revenue driven by project work for our Tier-1 customers that contain lower margin product offerings. Service margin for the quarter was 30.4% compared to 27.7% reported in the second quarter of last year. Service margins were favorable during the quarter due to an increase in recurring revenue primarily driven by higher SaaS content. Additionally, the company has experienced a shift within our service contract offerings to a lower cost and higher margin model. Government contract margins increased 8.7% as compared to 6.4% for the second quarter of 2015. This increase is largely due to more profitable contract mix with higher volume of revenue earned through higher margin contracts. GAAP SG&A was $7.1 million, an increase of $213,000 from Q2 2015. The increase is primarily due to two factors; legal and professional fees of approximately $304,000 incurred from the company's continued investigation of the misappropriation of funds by its former CFO and approximately $127,000 of investments made in connection with the company's ERP system implementation. Non-GAAP SG&A was $6.5 million, relatively flat from the $6.5 million recorded in Q2 2015. The adjusted SG&A reflects the exclusion of costs incurred from legal and professional fees from the investigation, equity-based compensation charges, acquisition-related expenses and the ERP implementation cost. The company continues to analyze its fixed overhead cost to reallocate the cost structure in support of our higher performing products. Net R&D expense was $2.8 million, up from the $2.7 million recorded in Q2 2015. Majority of the increase is due to software investments made in the acceleration of Brink and SureCheck product lines. Now to provide information on the company's cash flow and balance sheet position. Cash within continuing operations was mostly flat during the six month ended June 30, 2016. However, cash generated during the quarter from continuing operations was approximately $1.1 million. Cash used in investing activities of approximately $2.2 million relating to cap software [ph] $1.2 million, CapEx of $1 million, and working capital payment of $940,000 in regard to the sale of the hotel business unit. Cash used in financing activities was $61,000. Inventory increase from December 31 by $3.9 million mostly related to inventory procured for Q3 deployments specifically tied to our global Tier-1 accounts. Inventory turns for our domestic and international operations continue to be consistent quarter-over-quarter. Accounts receivable decreased $300,000 compared to December 31, primarily due to the timing of revenues associated with the government segment and improved collection cycle within the restaurant retail division. Data outstanding improved within the restaurant and retail from 59 days at 12.31 to 56 days at 6.30. We did experience an uptick in the government collections, noting an increase to 47 days versus the 42 days reported at 12.31. This concludes my formal remarks. Now I'd like to turn it back to Karen.
Karen Sammon: Thanks, Matt. While our results in the quarter were not unexpected, we will not be satisfied until we are delivering predictable growth and profitability to our stakeholders. Changing our business from cyclical hardware revenue streams to a diversified client profile based on software-led solutions and high-tech services continues to be our strategy and there are many indicators that it's working in both of our segments. Changes of significance take time and execution requires precision as we simultaneously operate as is and in our new business model. We are proud of the improvements we've made within the company in the last six quarters, and we see great opportunity for PAR going forward. In PAR's restaurant retail business, we are making progress by diversifying our customer base and expanding our reach through our innovative software solutions portfolio. In this recently ended quarter, we grew our software subscription revenue by 74% led by the increasing demand of our Brink software solutions. Our Brink solution which includes SaaS, hardware, and associated services revenues grew 227% in the second quarter from the same period last year. Brink's monthly recurring revenue grew 95% in Q2 from the prior year second quarter and we deployed nearly 300 new stores in the quarter. Brink's annual recurring revenues grew 86% versus 2015 and our total number of stores operating with Brink software -- now with PAR's Brink software now total 1,600. In the quarter we announced several new customers including MOD Pizza, Graeter's Ice Cream and Bibibop Asian Grill that contributed $456,000 in bookings. Our forecast for the remainder of the year is strong as our backlog includes five guys; Pita Pit, Sonny's Barbecue to name a few, and our bookings reflect nearly 6 million in ARR and side growth of 145%. During Q2 we released latest version Brink Version 3.6 which included enhanced conversational ordering capabilities, touchscreen kitchen support, and integrated near-field communication technology, NFC, to allow for Apple pay and other large payment processors to integrate to Brink. We are focused on achieving our Brink implementation goal for this year and have line of sight to achieve 10,000 deployed sites with Brink and it's recurring revenue stream by the end of fiscal year 2018 or sooner. As we achieve this goal we will experience an annual recurring revenue stream of over $20 million and the accompanying valuations that SaaS revenue companies now realize at that level. As a reminder that these are estimates solely for our Brink POS Solution and SureCheck will add additional incremental revenue and profits. Updating you on SureCheck; we are seeing that food safety is becoming more systematic and data driven which will require an automated digital approach. Food companies today are looking at options for equipping their employees with Cloud-based mobile solutions that are designed to maintain compliance with FSMA-based checklist. That's the idea behind our SureCheck Advantage Solution, a tablet equipped with three temperature measuring modes, a traditional thermometer probe, infrared for checking the actual temperature of cooking surfaces, and RFID which can track both temperature and read barcodes to get additional information such as where a package of food originated by the sell-date, how the food has been handled in the stores etcetera. Wegmans Food Market, one of SureCheck's early adopters, commitment to food safety is a core value. As a power user, Wegmans is deploying the new SureCheck advantage to all of their 93 stores by the year end implementing near a 1,000 units. Our pipeline of new opportunities for SureCheck is expanding in grocery and contract good and we are encouraged by the six new customers we have engaged within the quarter. The SureCheck solution is consistent with our strategy of expanding our business through recurring high margin software revenues. Being more predictable in our business will also allow our company to accelerate profitability. This quarter our restaurant retail business was able to grow our recurring revenues 9% over Q2 2015 in 4% sequentially from this year's Q1. Recurring revenue comprise 25% of our total -- for our restaurant retail business. Trends around mobile and digital, labor and operational efficiency, and BI are driving operators to look for technology solutions and to PAR. Because we offer state-of-the-art proven Cloud solutions, we are consistently included in product assessments and market proposal opportunities for Brink and SureCheck. We are winning new customers through our target markets and increasing our bookings month over month. We launched our EverServ 8000 Series of harder platforms earlier this year for both, Tier-1 and Brink customers. The modern sensible style and competitive price point has created a buzz throughout the restaurant industry. The recent certification of the ES 8300 by McDonald's globally is generating a significant amount of backlog for the back half of this year. The excitement about PAR's strategic SaaS solutions -- solutions that also include our leading hardware as a component would motivate us and we are keenly aware of how it changes our trajectory in the future of our company. As I do every quarter, I meet with many current and prospective customers. In addition to learning a lot, it is gratifying to hear the confidence that our customers feel with PAR as a true technology and innovation partner. Now to review our government segment. This business continues to perform well and produce profits in the quarter that increased 50% over last year's second quarter. We continue to increase value-added revenue contracts that include more direct labor and high-tech contract work within our Intel Solutions business lines. This quarter we announced a new prime contract award supporting the U.S. Navy in Djibouti, Africa. We are also pleased to have recently announced a $5.1 million contract with the Air Force Rome Laboratory. That contract is included in a group of 12 newly awarded contracts our company has secured in 2016 and I am pleased to report that the contract backlog for our government segment is now at a very healthy $125 million. This 54% growth in our contract backlog over the last three months ensures a strong second half of 2016 for this segment, and also validates our core competencies of solving complex problems for our government customers through our continued innovation, deep experience and passion, and strong market reputation for performance excellence. Our government team is also pursuing additional and exciting opportunities in expanding our technology reach to other commercial and municipal applications. Recently PAR government participated in the very important State of Colorado emergency management exercise addressing wild fires and how first responders respond to such emergencies. PAR's Technology was utilized to address gaps in radio communications and situational awareness which are critical to firefighter safety. There is much happening in our government business and we're excited about the opportunities and look forward to giving you detailed updates on our progress. In summary, the investments that we've made in our business over the past year will contribute to a solid second half. Our focus remains on innovation and execution that allows our customers to enhance the end to end user experience for their customers and their businesses. We believe our technology and capabilities are well suited to take advantage of the growing market trends in both of PAR's business segments that feature mobility, wireless connectivity and expanding digital content. I remain optimistic about opportunities for each of our businesses and as always, I want to thank our employees, our customers, suppliers, shareholders and the communities in which we work for all of their contribution towards our success. This concludes our formal remarks. And I will now turn the call over to the operator to start the question-and-answer session.
Operator: Thank you. [Operator Instructions] And our first question comes from the line a Sam Bergman with Bayberry. Your line is now open.
Sam Bergman: Good morning, everyone. Couple of questions, one regarding Brink. Can you give us any more color on the types of accounts that you engaged, and there any Tier-1 accounts that you're engaging right now in various sites or is it similar to what's been announced over the last six months in terms of customers?
Karen Sammon: Thanks for the question Sam. The Brink sites that we're engaged in and from Tier-1 through Tier-3 in terms of our pilot sites and where we're deploying, we have -- we've been increasing the number of organizations that we're working with so we have a lot of new logos, we've increased our backlog and further on our deployments. So to answer your question; I guess we are increasing the number of customers throughout all the Tiers.
Sam Bergman: Can you talk about any of them?
Karen Sammon: At this point I really can't talk about names but they are names that you would recognize.
Sam Bergman: And how far along are you with which -- let's say the largest one in terms of where you think that's going to head out in 2016?
Karen Sammon: I don't believe that we'll see many sites from our Tier-1 in 2016. We are in a handful of sites right now, they are going through their final evaluations and we're working our way through the stages of completions.
Sam Bergman: And the McDonald's business that you talked about in the second half, what kind of uptick are we looking at? Can you give us any percentages?
Karen Sammon: The McDonald's business for the second half -- so we introduced our 8300, they let us let us showcase it at their convention in April. We received a really strong backlog from that convention, we have gone through all the pricing exercises, the field test that they require and we are -- right now we're able to deliver the product. So it's going to be a pretty significant uptick.
Sam Bergman: Can you talk about some of your other Tier-1 customers and how well they are doing right now and what your expectations are for them for the second half of the year?
Karen Sammon: Over the course of 2015, we've really -- we wrapped up deployments with KFC Jack in the Box. So they won't -- in the previous year we had drafted a major rollout w Subway. So there is steady business but not big deployments happening with them. So that contributed to the second quarter -- the decline in revenue in the second quarter. So our relationships are strong, we continue to do a lots of project work but we're in the down side of the deployments.
Sam Bergman: And in terms of going back to Brink, are there any customers like five guys on horizon that you're close to signing or not?
Karen Sammon: Yes. So there are larger customers that have a large number of stores that are in our pipeline. One is signed and we're going through the -- they are not quite as large as the five guys but we do have a few large ones that have multiple hundreds of stores that -- we're beginning the initial stages of deployment in the second half of the year.
Sam Bergman: Sounds good.
Karen Sammon: I just wanted to remind you that Brink is on target, it was even without the Tier-1 in the mix, care any Tier-1 that we landed this year we're going to see the -- we'll see the benefit of it in 2017.
Sam Bergman: Understood. So let's go to SureCheck for a minute, there has been a lot of buzz on SureCheck. We haven't seen too many -- new customers, I assume the pipeline must be pretty full with SureCheck. Why should we see some announcements that these are going to be implemented and installed in 2016?
Karen Sammon: That's a great question and you're right, our pipeline is growing, we've added sales people to our team, our product is strong and we're really starting to expand. So it's -- we're seeing the pipeline expand and really couple of different areas. So grocery where they were their initial early adopter, contracts food has experience expressed interest and actually is leading us into new opportunities, a bit in fee-store and then into restaurants. So to answer your question, we have a bunch of pilots going on and we expect that we'll be able to announce some new customer wins, probably later in the year, Q4 timeframe, as we start to get the deployments out.
Sam Bergman: Can you share feedback on your implementation with target?
Karen Sammon: That implementation we concluded back in 2015 and that was a while ago.
Sam Bergman: And in terms of an upgrade like Wegmans, are they doing any type of upgrades like Wegmans has done recently or not?
Karen Sammon: Currently no. Wegmans is really committed to food safety, like I said it's one of the core values and they are a serious power user of the solution. And we are seeing adoption -- an uptick in the use of SureCheck by some our other grocery customers like Lums [ph] and Festival Food. So they continue to push the solutions through their system.
Sam Bergman: So last question in terms of SureCheck, do you have any large Tier-1 grocery chains that are looking at the product. Since you have Wegmans to have such a good reference point and of course, Walmart made this reference point, one would think by now you would be very close to signing a Tier-1 grocery customer.
Karen Sammon: We do. So we do in the U.S., we're in pilot with one right now; we have a meeting in a couple weeks with another. Then in Latin America we also have another grocery chain that is in pilot. So we have been several.
Sam Bergman: Thank you very much.
Karen Sammon: Thank you.
Operator: Thank you. And our next question comes from the line of Richard Darnley with Longport Partners [ph]. Your line is now open.
Unidentified Analyst: Good morning. I'm new to your company and trying to figure out how -- which revenues go where. You mentioned you did $1.5 million in Brink POS, is that the up 61% quarter-to-quarter and 220% year-to-year number?
Karen Sammon: Good morning, Richard. Thank you for joining the call. I'm going to let Matt take -- explain this to you. We can also catch up with you offline.
Matthew Trinkaus: Hey Richard, welcome to the call. The $1.5 million represents really the hardware pull-through. And the customers that we won with the software so they are also buying -- purchasing the PAR hardware. That is included within Karen's remarks of the 227% growth in the Brink solution. So when we talk about the Brink solution, we talk about the software, hardware and services combined, that is included within that number. It is not included within the recurring -- when we talk about the recurring revenue and those and that type of growth of quarter-over-quarter versus last year. So there is a differentiate between the hardware that we look at with Brink and how we look at the full solution and then the recurring revenue as well.
Unidentified Analyst: So that's the hardware part, then what was the software part and the service part?
Matthew Trinkaus: So the software is included within the $700,000 that I noted in my comments. So that's where the -- software and the recurring revenue of the service contracts would be in that number.
Unidentified Analyst: So the $700,000 includes the software and the service?
Matthew Trinkaus: Right.
Unidentified Analyst: And can you break that out into software and service?
Matthew Trinkaus: At this time, no, we can't break that out.
Unidentified Analyst: And then you mentioned a goal in a way -- where was it, the $20 million recurring revenue by the end of 2018. Could you -- what was the recurring revenue then in the first half of this year?
Matthew Trinkaus: So total recurring revenue -- I think total recurring revenue for Q1 of our first half of this year -- for our service revenue was about little over $15 million in total but that includes the hardware contracts what Karen is referring to as just the SaaS software for Brink.
Unidentified Analyst: So -- and you're not going to reveal just the software that -- the number that would be comparable that the $20 million target?
Karen Sammon: Richard, at this point we have not disclosed that information. We are giving different -- we're giving metrics around our growth. So some of the things that I said was that, we ended the second quarter with roughly 1,600 Brink sites, our objective is to grow the number of Brink sites by the end of fiscal year 2018 to 10,000. We have lined a sight to get to that number. Our backlog for Brink is about $6 million of annual recurring revenue. So these are the kind of metrics we're starting to disclose, so we can get to that point to tell you exactly what you're asking. Right now the revenue contribution is smaller, signing up a small base and we're growing, so the things that we can see are positive and as we accelerate our plans to deploy Brink and to bring new customers into the fold. And just to repeat few of your questions, the $20 million of SaaS revenue and recurring revenue relates to the 10,000 sites and it relates to Brink. We also -- so we are also focused on bringing SureCheck to the market and the SaaS revenue associated with SureCheck will be on top of that right.
Unidentified Analyst: Right. I see, okay. And then stock comp was down 25% in the six months but up 400% in the second quarter. Does that bounce around normally like that or does this reflect quarter-by-quarter results, I mean just conceptually?
Matthew Trinkaus: Richard, it's Matt. For the stock comp, the new Board that came on a couple of years ago and we kind of revamped the compensation committee and how we looked at our stock compensation. So last year it did run pretty low based on the new awards, the new agreements that the compensation committee approved and worked on -- that was approved in 2016. So we will see little bit higher run rate in the stock comp this year versus last year.
Unidentified Analyst: I see. I probably read the proxy but I forgot. Do you use compensation consultant?
Matthew Trinkaus: Not at this time. We have in the past but not at this time.
Unidentified Analyst: Generally speaking, I think management should know what they should pay without a compensation consultant but that's just me. Okay, thank you.
Matthew Trinkaus: Thank you.
Operator: [Operator Instructions]. And our next question comes from the line of Gary Siperstein with Eliot Rose Wealth Management. Your line is now open.
Gary Siperstein: Good morning. Just a couple of bookkeeping items first, so you pulled on the non-GAAP basis another $300,000 in charges for the ongoing investigation. I thought that mostly wrapped up in Q1 but can you give us some color on that? And are we through those expenses now?
Matthew Trinkaus: Hey Gary, it's Matt, welcome to the call. Yes, so we should be through the majority of the expenses, it should be very minimal going forward. The $300,000 really related to some additional work that both our lawyers were doing and on the accounting finance side as it relates to remediating the internal control efficiency that we reported at the end of the year. We had incurred extra audit fees and additional consultants that we use to make sure that we're able to remediate those internal controlled efficiencies. But going forward we should see pretty limited action here unless something were to trigger additional legal fees.
Gary Siperstein: Okay. And you still expect to -- through insurance or other means recover -- I guess it was about $700,000 loss from that that season?
Karen Sammon: Gary, we have filed the appropriate claims and we will be reporting on it as we are notified.
Gary Siperstein: Okay. And is that something you expect before year end or is there no guesstimate on when that can come in?
Karen Sammon: I really -- we really don't know. But it's clearly something that's important to us as well and so we're continuing to follow the direction from external counsel and internal counsel to make sure that we remediate the situation.
Gary Siperstein: Okay. And then it was also some expensing non-GAAP in the quarter on the ERP system, is that mostly done and it will be capitalized expenses going forward. How do you look at that math?
Matthew Trinkaus: Yes, going forward for the rest of this year the majority will be capitalized, there will be very minimal expenses coming through on the ERP project and then later into 2017 we might see some uptick in that again but nothing significant.
Gary Siperstein: Okay. And then on the balance sheet, so there is about $5.5 million in cash -- you might have that $700,000 receivable on the insurance. And then I saw you move from long-term to short-term that now receivable to current assets; is that expected within 12 months or is that sort of expected to come in before year end?
Matthew Trinkaus: So that's based on the APA that was sign with Jonas, our consolations. That is to be received in June of 2017.
Gary Siperstein: Okay, about a year from now. The entire $4 million?
Matthew Trinkaus: Right. And just to be clear, we do not have a receivable for the insurance claim because that -- we can't make a probable cause yet for that.
Gary Siperstein: Okay, super. And one more bookkeeping question and then I'll ask some business questions. Karen, can you give us a little color on the CFO search.
Karen Sammon: Yes, the CFO search continues. We have we have enlisted -- retained their retain search and so we have some candidates that we're interviewing and I hope to have a CFO onboard shortly.
Gary Siperstein: Super. And then on business line. So I'm just going over the quarter in the first half; so for the quarter it seems like -- and all the things we're pretty excited about future-wise on growth was nice and the only thing that hurt us is legacy hardware. So we sort of don't look at the legacy hardware as a growth business but outside of the difficult comps in the quarter which you had called out in the last conference call, so it was no surprise based on your earlier answers to questions with McDonald getting approved, you're seeing some uptick on planned shipments for the back half of the year. But even if that just doesn't hurt us anymore, if it's just flat with all other parts of the business, SureCheck and Brink growing and government growing and contributing -- and I think for the first half, government, even though sales have been awfully dead [ph], it's still increased its contribution to bottom line. It looks like the most important things for our future is going in the right direction. Is that how you look at things?
Karen Sammon: That is how I view it, Gary. So you really articulated it well. I think as I've discussed in the past, we are focused on the SaaS component of our business and with the government, the higher margin Intel Systems business, so that's our area of investment and focus while our core business, as we call it, the hardware business continues to be the engine to help us drive this change into this new business model and it's doing well too. So the adoption of the hardware is really exciting to us and it's going to be -- it's going to provide us with a good opportunity in the second half of the year. And sometimes you know, as we're looking at diversification we're pulling out these metrics for you to show you how we're growing, it gets obscured by the success of our hardware business. So we have to balance it out, and that's why I want to be -- start to call out some of the trends that we're seeing, so you can see where our investments are starting to work.
Gary Siperstein: Super, okay. You mentioned -- I don't know if I heard you correctly, on SureCheck you said there were -- were there six new customers in the quarter or -- I know you used the number six, I don't know if it was new customers or roll outs or prospects from trials. Can you just explain -- tell me what you said again?
Karen Sammon: I said that there were six new customer that are in one stage or another but within at least in pilot. So six new names -- so outside we talk about Walmart and Wegmans all the time and I just wanted to highlight the fact that there are six that have moved to the funnel, that are in the stage of at least in pilot, and some are further down into the pipeline.
Gary Siperstein: Okay. And usually what's been your experience on pilots? How many of them are turned into actual deployments and contracts and orders, is that half, is that one-third?
Karen Sammon: So far all of them. So I mean we're starting from a small base again and SureCheck, our big first customer was Walmart but all the pilots that we have entered into have turned into business so far now and that continued in the future as we have more and more pilots, maybe not, competition is coming. So that trend may not continue in the future but right now just to answer your question, factually they've all turned into business.
Gary Siperstein: Okay. So far 100% success rate. And competition is coming but might not actually be a positive because it's such an embryonic industry, maybe that gives its legitimacy and [indiscernible] with competition but if it widens the aperture, that could be good for us.
Karen Sammon: I agree with you, I've said often that a market without competition might not be a market. So where we are as an early stages of a developing market with -- with an early stage solution, we're further ahead than any of our competition but there is competition and so we're starting to see people come in which again gets more interest because of FSFA, there is more interest because of issues that are happening within the U.S. market and in international markets. So we're starting to see the more demand. So we're expecting that as the market matures, we're in a good position.
Gary Siperstein: Okay. And moving that thought over to Brink, so where do you see yourselves versus competition on Brink. Are you six months ahead of them? And what are the positives of our product versus the competitors?
Karen Sammon: When I talk about the competition for Brink I look at it in terms of our traditional competition and the new competition; the traditional competition really dominated the market and we are grabbing market share from some of that traditional competition, via Low Hass and the Mike Gross [ph] of the world. And they are not going away but we're able to grab market share because there is a demand for hosted cloud-based solutions and we have a very strong platform. In terms of our new competition -- there is competition, there is a lot of cloud-based solutions but in order to -- the cost of entry to this market is pretty significant, not pretty, it's significant. And so PAR has the infrastructure and the capability to not only design and develop but also to sell and deliver and support customers within this market segment. So we're taking our infrastructure, we're giving our sales team Brink and cloud solution, so we can go and address the demands of the market in terms of cloud solutions, mobile, digital, business intelligence and information to drive the business and make that good decisions.
Gary Siperstein: Okay. And talking about the cadence on Brink. So you mentioned, we have 1,600 installations now. You mentioned you did 300 additional ones in the quarter. So -- and then with the 10,000 goal for the end of calendar 2018. So what you're looking to basically finish this year at, like 2,500 and then you jump to 5,000 in 2017 and 10,000 in 2018? Can you give us some color on your hope for cadence? And then secondly, what makes you think you can do that? I mean, what do you see in your pipeline and your opportunities out there that makes you think you can go from 2,500 to 5,000 and from 5,000 to 10,000 units?
Karen Sammon: So the answer for your first question is, around -- we're at 1,600 now, we expect to be between 2,500 and 3,000 at the end of this year, ramping upto 10,000 at the end of fiscal year 2018. When I look at the number of stores and the opportunity, greater than 90% is more than $10 million in annually recurring revenue just under 3,000 sites. When I look at the total opportunities, a conservative look at our opportunities, not every single thing is in here, it's -- there is roughly 20,000 sites. So we're already going to end the year -- so we expect to end the year around 2,500. We're building a pipeline that right now at this point has roughly 20,000 sites so we have a line of sight to get us to our goals and objectives, it's a matter of selling what we have -- developing and staying ahead of the competition, selling what we have to customers and then upselling to our existing customers, deploying and supporting, and doing that methodically and professionally.
Gary Siperstein: So the 20,000 stores, that's sort of what you're seeing now? I mean there is obviously materially more than 20,000 stores out there. So that's sort of…
Karen Sammon: Those are our customers that are engaged today.
Gary Siperstein: Okay, that you are engaged with today. So if you're engaged with 20,000, you're hoping for at least a 50% win rate to get to the 10,000 in the next June?
Karen Sammon: No, we're continuing to build the pipeline. So we can't expect to win 50%. So we need to get to three or four times and so we're just heading in that direction and building the pipeline so we can secure those 10,000 sites.
Gary Siperstein: Okay, but today with the goal of 2,500 by year end, you actually have some touches with companies representing 20,000 stores?
Karen Sammon: The answer is yes. And so we're optimistic that we can get to 2,500 and probably exceed it.
Gary Siperstein: Yes, 20,000 is remarkable. So right now we're -- you hope to 10% or so, 10% to 12% will get you to 2,500. And then if you get to 10,000 and $20 million in revenue at 2018 with 80% to 90% margins, so even using 80% if you hit your goal that's $16 million in gross margin. So that's about a lot of share and that doesn't take into account the profitability of the hardware business, SureCheck, and government. Am I crazy or is that pretty much on target?
Karen Sammon: When we get to our 10,000 sites, you're heading down the right direction and that's our objective.
Gary Siperstein: And lastly, so the first half of this year non-GAAP, you've done $0.10 versus $0.15 last year and you're optimistic on the second half. I think previously there was -- you guys had an aspiration to beat what you did last year and I think you did $0.39 non-GAAP last year. So that would equate to about a $0.30 back half. Can you refresh me on what we did in the back half last year? And then is that achievable?
Karen Sammon: I'll let Matt take the question, he's got the numbers right in front of him.
Matthew Trinkaus: Yes, I do think it is achievable. Restaurant this year did have a tough start of the year. Last year it had a strong Q2 and Q3 with a soft Q4. We are expecting this year a big uptick in Q3 and Q4 to exceed what we did last year. From a business unit perspective government should be consistent with year-over-year, so I do think our financials will be pretty consistent with last year's performance if not better by the end of the year.
Gary Siperstein: And Matt, what did we do in Q3 last year and Q4?
Matthew Trinkaus: I don't have that at the top of my head here.
Gary Siperstein: Okay. But if we did $0.15 non-GAAP in the first half so that would be $0.24 in the back half. So to beat it we'd have to do at least $0.30 in the back half. And we're saying that's doable. So that would -- if we do $0.40 so we're at a pretty low PE and that would be obviously higher quality earnings as the recurring revenue model and the higher margin software starts to become a bigger, bigger piece of the pie.
Matthew Trinkaus: Yes, that's exactly where we're going with this Gary.
Gary Siperstein: Okay, it sounds good. Thanks for taking my questions.
Matthew Trinkaus: No problem.
Operator: Thank you. And I am showing no further questions at this time. I would like to turn the conference back over to Ms. Karen Sammon for any final remarks.
Karen Sammon: I just want to thank everybody for your time today. We look forward to communicating our progress in our third quarter call. Have a good day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone have a great day.